Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 NXP Semiconductors NV Earnings Conference Call. My name is Shequanna and I will be your coordinator for today. [Operator Instructions] I will now like to turn the presentation over to your host for today's call, Mr. Jeff Palmer, Vice President of Investor Relations. Please proceed, sir.
Jeff Palmer: Great. Thank you, Shequanna, and good morning, everyone. Welcome to the NXP Semiconductors' Second Quarter 2012 Earnings Call. With me on the call today is Rick Clemmer, NXP's President and CEO; Peter Kelly, our newly appointed CFO who takes over as of August 1, and Kalle Sundstroem, our previous CFO. We will be all available today during the Q&A portion of the call. If you've not received or obtained a copy of our second quarter 2012 earnings press release, it can be found on our company website under the Investor Relations section at nxp.com. Additionally, we have posted a supplemental earnings summary presentation and an Excel document of our historical financials to assist in your modeling efforts. This call is being recorded, and will be available for replay from our corporate website. Please be reminded that this call will include forward-looking statements that involve risks and uncertainties that could cause NXP's results to differ materially from management's current expectations. The risks and uncertainties include, but are not limited to, statements regarding the macroeconomic impact on the specific end markets in which we operate, the sale of new and existing products and our expectations for financial results for the third quarter of 2012. Please be reminded that NXP undertakes no obligation to revise or update publicly any forward-looking statements. For a full disclosure on forward-looking statements, please refer to our press release. Additionally, during our call today, we will make reference to certain non-GAAP financial measures, which exclude the impact of purchase price accounting, restructuring, impairment and other charge -- charges that are driven primarily by discrete events that management does not consider to be directly related to NXP's underlying core operating performance. Pursuant to Regulation G, NXP has provided reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures in our second quarter 2012 earnings press release, which will be furnished to the SEC on Form 6-K, and available on NXP's website in the Investor Relations section at nxp.com. Before we begin today, I would like to highlight that we have changed 2 of the 4 end markets we will report within our HPMS segments. We have defined the new end markets as portable and computing and infrastructure and industrial. These 2 new end markets replace what were previously known as Wireless Infrastructure, Lighting and Industrial, as well as the end market known as mobile, consumer and computing. Included in the supplemental presentation on our IR website, we have provided a bridge and an explanation of what specific products are reflected in each new end market definition. There has been no changes to the automotive and identification end market definitions. Now I'd like to turn the call over to Rick.
Richard L. Clemmer: Thanks, Jeff and welcome, everyone, to our earnings call today. As is our practice, I will address revenue trends in our various markets and channels with Peter Kelly now providing more color on profitability and other financial metrics. We are very pleased with our performance in the second quarter as we delivered product revenue of $1.02 billion, up 12% sequentially above the high end of our original guidance. NXP revenue was $1.09 billion, up nearly 12% sequentially, also above the upper end of our guidance range. We experienced growth in every one of our target end markets, a positive indication that company specific opportunities we have previously addressed are coming to fruition. We acknowledge the macro environment has clearly weakened, however, we see our growth in the intermediate term as less dependent on the cyclical industry rebound and more a function of unique company-specific design wins. From a segment perspective, HPMS revenue was $803 million, a 13% sequential increase and $30 million above the midpoint of our guidance. As Jeff commented, we have changed 2 of our end market definitions within HPMS to better reflect our strategic focus in the mobile computing and specialized industrial areas. My comments today will reflect these new definitions. Overall, we experienced solid growth in all of our HPMS segment end markets and in most cases delivered performance above our guidance. Within our automotive business, revenue was $244 million, up nearly 7% above the high end of our expectations with record levels set in North America and China markets. From a product perspective, we experienced strong sequential demand for entertainment and sensor products, with keyless door entry products in line with our expectations while in-vehicle networking declined modestly in the quarter principally due to softening demand from European automotive OEMs. However, we continue to see luxury brands driving resilient demand and trends in North America and Japan strengthened during the quarter, albeit with increasing chatter of weakening demand for mass-market vehicles in Europe, Middle East and Africa. We believe we gained share during the second quarter against an automotive semi [ph] market which we anticipate will reflect flat overall growth. Furthermore, we are beginning to see our efforts outside of our core automotive business beginning to pick up some steam. As an example, we were awarded designs for our new interior ambient LED lighting product, which combine our LED lighting driver and in-vehicle networking technology into a flexible lighting solution. Within our ID business, revenue was $234 million, up 25% sequentially, about $9 million better than our original expectations. We experienced robust order trends across most of the portfolio with our core ID business growing about 12% on a sequential basis and representing approximately 80% of the total ID revenue. Within our core ID franchise, automatic fare collection, banking and tags and labels were all up robustly in the quarter, while our eGov product line was flattish sequentially but within our original expectations. Within our emerging ID business, which includes mobile transactions and authentication, revenue was $50 million, up $27 million sequentially. Our mobile transaction design win momentum continues to build not only in shipments but also with approximately 200 unique handset and tablet design wins awarded. Of these projects, roughly 40% are either in production or moving toward production over the few quarters. The unique leadership position that NXP has in security solutions is driven by the broad ecosystem, including applications, software and antenna knowledge. Moving now to our newly defined Portable & Computing or as the P&C end market revenue, we were up $179 million, up 14% sequentially. As we highlighted last quarter, we brought Dave French, a 30-year industry veteran, including being the previous CEO of Cirrus Logic, to lead the new P&C group. Within P&C we have brought together our 32-bit ARM MCU products, our high-speed interface solutions and our general-purpose logic products into a single focus group. We took this step because our customers consistently seek synergies across the portfolio, which has led to several significant design wins in the smartphone and tablet market, an end market which we have historically not participated in. From a sizing perspective, over the trailing 4 quarters, the MCU and high-speed interface product lines are roughly similar in size and each contributes just under 1/3 to the overall revenue of the P&C group with the remainder being the logic product line. During the second quarter, we experienced strong sequential growth due to demand for both MCU and high-speed interfaces additions, while revenue from logic was flattish. Turning to the newly defined Infrastructure & Industrial, or the I&I end market, revenue was $146 million, up about 7% sequentially. From a product offering perspective, this group is focused on High Performance RF or HPRF products, power and lighting solutions, silicon front-end tuners, as well as new emerging low-power RF solutions for the health care and consumer markets. From a sizing perspective, HPRF is the largest single business in the group, representing about half the revenue over the last 4 quarters. The HPRF product portfolio is predominantly focused on cellular base stations including power amplifiers and small signal L&A devices, both areas where we continue to gain share in 3G and LTE base stations. Additionally, we have a solid presence in the broadcast, aerospace and defense markets for radar systems. During the second quarter, HPRF solutions for base stations were down slightly consistent with overall base station market, with other HPRF products down mid-single digits. Moving to the silicon front-end tuner product line, this represents about 1/4 of the group revenue over the last 4 quarters. This in a scenario that NXP is a market share leader with a relative market share of nearly 2x our nearest competitor. During the quarter, the front-end tuner business was up roughly in line with the overall I&I growth rate of 7%. Lastly, the remainder of I&I is made up of our power, lighting and emerging product solutions, which grew strongly on a sequential basis, primarily due to power and lighting solutions and offer an opportunity for well above industry growth if we can successfully execute our strategy. Finally, turning to Standard Products business, revenue was $219 million, up about 8%, essentially in line with our guidance although the environment was clearly much more challenging. From a channel perspective, sales into distribution increased by approximately 14% as our distribution partners supported new design programs ramping into production. Resales out of distribution were up about 3% from the prior quarter. We continue to manage distribution inventory within our target range with total months of supply on hand at being flat at 2.4 months this quarter. Absolute dollars of inventory in the channel were up slightly on a sequential basis. Our distribution partners continue to be fairly conservative on future demand based on the ongoing anemic growth in the world's economies. From a geographic perspective, all regions with the exception of EMEA were up, with the particular strength coming from the combination of China and South Asia-Pacific end markets. In the EMEA region, which accounts for about 1/4 of our product revenue, the weakness predominantly affected our automotive business, but we did see some slowdown in our ID and I&I groups as well. Before I turn the call over to Peter, I would like to address the #1 question we get asked by investors and analysts. Specifically, what are the key growth drivers that give us the confidence that we can outgrow our peer group? We look at the incremental revenue over the last 4 quarters, assuming we achieve the midpoint of our Q3 guidance, the key areas which have and should continue to drive our outperformance are as follows: First, our ID business is key, both the core and emerging products, markets where we held a strong lead in all our focused areas. This will be driven by increased demand to contactless banking products as the U.S. and China both begin to roll out new upgrades, new eGovernment tenders and infrastructure upgrade programs. Layered on top of our core business is the recent accelerated ramp of most mobile transactions and the future rollout of new authentication programs in our emerging ID business. Taken together, this should contribute roughly 2/3 of our incremental revenue through the third quarter. Secondly, we have discussed 3 design opportunities in the tablet and smartphone space, all outside of NXP, which contribute strong growth. We have discussed a high-speed aggregation interface device, which has just begun production, a product authentication device, which includes a load control switch and a companion authentication device. This should enter production for us in the fall of 2012. And finally, an MCU-based system control design, which should enter production in the spring of 2013. Each of these designs should contribute roughly $200 million to $250 million of incremental revenue over a 3-year design life. While we are in the very early stage in the cycle in these opportunities and they should contribute roughly 1/3 of our incremental revenue through the third quarter. Thirdly, we have discussed our auto franchise, which should be a good contributor to growth in an annualized basis versus 2011. In the automotive semiconductor market, we hold strong market shares in our focused areas, which should continued growth due to OEM design for keyless door entry and entertainment systems. Additionally, we have opportunities grow into new adjacencies, including the area of solid-state lighting, but note, new auto designs take longer to provide incremental growth. Regardless, through the third quarter we anticipate our automotive business contribute approximately 10% of our incremental growth. Above and beyond the previously noted opportunities, we see the incremental growth in our HPRF and standard product portfolios. Taken together, we see our growth as clearly a function of company-specific designs. We continue to believe the combination of our unique product portfolio, applications knowledge and laser focus on customer requirements should enable NXP to grow in excess of the overall semiconductor industry. Now I'd like to turn the call over to Peter to discuss the financial details of the quarter.
Peter Kelly: Thank you, Rick and good morning to everyone on today's call. As Rick has already covered the drivers of the revenue during the quarter, I will move directly to the highlights of the P&L. In the second quarter, revenue was $1.09 billion, an increase of 12% sequentially and $23 million above the upper end of our guidance. We generated $505 million in non-GAAP gross profit, nearly a 17% increase sequentially and $6 million above the midpoint of our guidance. Non-GAAP gross margin was 46.2%, a 190 basis point sequential improvement from Q1, slightly below the midpoint of our guidance range on a percentage point basis, impacted by a weaker-than-expected recovery in our Standard Products segment and stronger shipments than planned in the ramp of high-volume design wins. Non-GAAP gross profit increased by $72 million quarter-on-quarter of which about 2/3 was from the pull-through on the additional revenue and about 1/3 from the improvement in fab utilization of 13 points from Q4 to Q1. Turning to the operating segments. Within the HPMS segment, non-GAAP gross profit was $428 million or 53.3% of revenue, a 180 basis point improvement versus the prior quarter due to the items previously discussed. Within our Standard Products segment, non-GAAP gross profit was $67 million or 30.6% of revenue, a 140 basis points sequential improvement. Although an improvement quarter-on-quarter, it was less than expected and we continue to see this part of our business impacted and continuing to be impacted by the general lack of recovery in the industry. Total operating expenses were $303 million, up $10 million on a sequential basis and in line with the midpoint of our guidance. From an operating profit perspective, total NXP non-GAAP operating profit was $204 million, an increase of nearly 45% on a sequential basis and represents for the quarter an 18.6% operating margin. Interest expense was $70 million, essentially in line with our expectations and our noncontrolling interest was $16 million, a result of improving utilization rates at SSMC. Taken together, total NXP non-GAAP earnings per share was $0.45, $0.05 better than the midpoint of our guidance, of which about $0.02 was due to better than anticipated cash taxes. Now I would like to turn to changes in our cash and debt. Cash at the end of the second quarter was $837 million, a sequential increase of $55 million. During the quarter, we experienced several cash movements which I would like to highlight. First, SSMC, our consolidated joint venture fab with TSMC, declared and paid a $100 million special dividend to shareholders. Due to the consolidation of SSMC financials into NXP, we made a payment of $39 million to TSMC. Secondly, we paid $45 million to Dover Corporation in the final settlement following failure to meet certain contractual performance covenants. Lastly, we received $59 million relating to the settlement of an outstanding legal claim. Total debt was $3.82 billion, a sequential increase of $10 million, primarily due to currency translation effects of our debt. Our total net debt at the end of Q2 was $2.98 billion, a decline of $865 million from the year-ago period and a reduction of $65 million versus the previous quarter. We exited the quarter with a trailing 12-month adjusted EBITDA of $974 million. And our ratio of net debt to trailing 12 month adjusted EBITDA was 3.1. Turning to working capital metrics. Days of inventory were 106 days, an increase of 4 days. Days receivable were 38 days, flat sequentially, while days payable were 86, up 10 days sequentially, reflecting the growth of material costs to support increased sales. Taken together, our cash conversion cycle improved to 57 days from 64 days in the prior quarter. Cash flow from operations was $269 million, a result of growing revenues and improved profitability, supported by positive working capital metrics and the positive impact of currency translation effects on our debt. Net CapEx investment during the quarter was $73 million, and resulted in a positive free cash flow of $196 million or 18% free cash flow model [indiscernible]. During the quarter, we spent $37 million on share repurchases under our existing program to offset future equity dilution. Now I would like to provide our outlook for Q3. As Rick mentioned, we believe our performance over the medium term is a function of our success with key customers and less related or -- less related to or anticipating a semiconductor cycle rebound. We acknowledge the challenging macro environment, which we are not immune to. Furthermore, as many of our new opportunities are in high-volume, consumer-focused mobile applications, we anticipate our gross margin will likely grow more slowly than originally envisaged as these programs drive an increasing part of our revenue growth. However, we believe through good expense control, our model can deliver positive operating leverage, resulting in strong operating margins and positive cash flow. With these views as the backdrop, we currently anticipate product revenue will increase in a range of 6% to 12% sequentially. At the midpoint, we expect product revenue to be up about 9% sequentially -- about 9% sequentially in Q3 to $1.11 billion, reflecting the following trends in our business. Automotive is expected to be about flat consistent with normal seasonality and reflecting a more challenging environment in Europe. Identification is expected to be up about 10% sequentially, predominantly driven by banking and mobile transactions. Portable & Computing is expected to be up over 20% sequentially as the new high-speed interfaces and logic programs Rick discussed earlier, are expected to accelerate. Infrastructure & Industrial is expected to grow in the low teens on a percentage point basis as we are seeing a positive improvement in demand for our HPRF products from base station customers. Standard Products is expected to be about flat with the impact of the general macroeconomic environment. We anticipate revenue from the combination of our manufacturing, corporate and other segments to be approximately $60 million. Taken together, total NXP revenue should be up in a range of 4% to 10% sequentially. Additional input that will help you tune your models are as follows: We anticipate non-GAAP gross profit to be in the range of approximately $526 million to $567 million, driven by higher revenue, improvements in factory utilization and tempered by the margin profile of certain high-volume programs as previously discussed; we anticipate operating expense in Q3 to be in a range of approximately $310 million to $315 million with a sequential increase primarily due to investments in new programs. Over the medium term, we anticipate our operating expenses should track roughly in a range of 1/3 to 1/2 the rate of our revenue growth. Taken together, this should translate into a non-GAAP operating profit in the range of about $217 million to $253 million. Net interest expense should be around $68 million. Cash tax expense should be approximately $9 million to $12 million or about $11 million at the midpoint. Noncontrolling interests should be about $14 million, plus or minus $2 million. Average diluted share count should be about 254 million shares. Taken together, our guidance implies non-GAAP earnings per share in the range of $0.50 to $0.62 per share or approximately $0.56 per share at the midpoint of our guidance range. Now we'd like to turn to your questions. Jeff?
Jeff Palmer: Shequanna, could you please poll for questions?
Operator: [Operator Instructions] And your first question comes from the line of C.J. Muse representing Barclays.
Christopher J. Muse - Barclays Capital, Research Division: I guess first question on the gross margin side, can you walk us through when we should see the benefit from the falloff of these new designs, as well as improvement for Standard Products? And what the time line looks like, assuming business stays at current levels, where we can achieve that 48%, 49% gross margins?
Richard L. Clemmer: Yes. So CJ, I think clearly the headwinds in the Standard Products is creating some issues specifically on Standard Products' gross margin and having clearly an overall impact on our total. I think the easiest thing to say is we're still committed to the models that we put in place. We still think that we have the opportunity to move forward with that. On an operating margin basis, we feel very comfortable that we'll be able to move to 25%-plus operating income associated with it. But with some of these higher volumes -- the success, the real success we've had on some of these new design wins as they ramp up, they won't have the same kind of gross margin profile as our -- as much of our core business. It's much lower volume and runs through different channels to the market. So there will be some influence on our overall gross margin performance associated with that, but we don't expect it to have any impact whatsoever on our operating income basis and believe that the inherent increased value driven by the upside revenue at a very nice profitability creates a significant opportunity. But clearly, we are not changing our model perspective on gross margins and all and it just creates a little bit of a transitionary basis that give us a little more of a challenge on gross margins per se in the near term. Peter do you have anything else you want to add?
Peter Kelly: No, I think that's a -- I think that's a good summary of it.
Richard L. Clemmer: C.J. do you have a follow-up?
Christopher J. Muse - Barclays Capital, Research Division: Yes, that's helpful. And as a follow-up, I was hoping you could walk through what typical seasonality looks like in Q4. I'm particularly interested in the ID side where -- whether or not we see any budget flush or whatnot?
Richard L. Clemmer: Our Q4 is typically seasonally down a little bit after a strong Q3 on a seasonal basis. So I think that's probably the best way to say it now. This year with overall uncertainty in the overall world's economies and how all that plays out, it clearly could be somewhat different one way or the other and the continued ramp up of these new design wins we talk about will have somewhat of a tapering effect. But clearly, our seasonal pattern would be that we would be down in the Q4 time frame.
Operator: Your next question comes from the line of Jim Covello representing Goldman Sachs.
James Schneider - Goldman Sachs Group Inc., Research Division: It's Jim Schneider for Jim Covello. Just a follow-up on the margin side. You talked about some of the impacts of mix are affecting the near term results. From here, are there any more structural things that you anticipate you could do on the cost side to heave back towards that 54% low end of the target range? Or is it basically just mid-room [indiscernible] by mix from here?
Richard L. Clemmer: No. I think there are clearly some things we'll do, Jim. We talked about the fact that we have 6-inch -- a 4 and a 6-inch facility in the Netherlands that over the next couple of years we'll be consolidating into our 8-inch facility there as we go through the customer requalifications and the transition associated with that. That's not something that will happen near term, but it's a process that's underway as we build the bridge inventory to be able to do that and clearly, will have some impact in the near-term on our inventory levels, but will give us some significant cost savings as we actually implement that. I think for us, it's really about how we continue to make progress towards our models and I think that the thing we feel good about is the continued progress, albeit that it's probably not at the rate that we would absolutely have liked based on the headwinds that we have in Standard Products, as well as the mix implications of some of the new product design wins. They give us a pretty strong top line growth.
Peter Kelly: I was just going to add one thing really, I mean, it's -- what we're talking about is a slowing in the overall growth of our margin. As we mentioned, it's the impact of these high volume design wins. But the good side of the high volume design wins is it does gives us the ability to go after more cost reduction. It just takes a little bit longer to show fruit. So there is another positive to this.
James Schneider - Goldman Sachs Group Inc., Research Division: Understand. That's helpful. And then just a follow-up on the end market commentary. You talked about the Industrial & Infrastructure area being up in the low teens which seems substantially better than most of your peers have already reported. You talked about some of the strength in base stations that you're seeing. Is that a broad market increase or is that just a matter of specific design wins you have ramping in this quarter?
Richard L. Clemmer: I think it's more of the design win side. I think when you look at 3G and LTE, we've talked about the -- we believe we have a very strong position and clearly, when you think about the revenue ramp associated with base station it's going to be more likely to be in the 3G and LTE areas. So I think that's a contributing factor and it's somewhat driven by customer by customer basis depending on where the inventory levels are, et cetera. So as we talked about before, the HPRF area is one that swings around quite significantly over a period of time based on the customer demands and how successful they are with their new design wins associated with it. But in the current time frame, at least, we see the requirements and expectations from customers that drive that stronger basis in the near term. But I think it's more of customer-specific than a broad increasing end market associated with it, Jim.
Operator: And your next question comes from the line of John Pitzer representing Credit Suisse.
John W. Pitzer - Crédit Suisse AG, Research Division: A couple of questions on revenue and a couple of questions on gross margins. On the revenue front, Rick, can you help me understand if you were to kind of differentiate between the core business and new product opportunities. Are you essentially guiding the core business flat for the September quarter and all the growth is coming from new products? I thought that I understood that until I got the guidance for the Infrastructure & Industrial business.
Richard L. Clemmer: So I would say that if you had to break down our range, the 6% to 12% which is clearly, we think a very positive momentum. It's probably something like 0% to 4% that's kind of in our core business, something like that, with the remainder of it coming from the incremental design wins and the ramp up associated with our ID business to try to put it perspective, John.
John W. Pitzer - Crédit Suisse AG, Research Division: And then my second question, guys, just on gross margins, the headwind in Standard Products. Is that pricing headwind or volume headwind or both? And then when you think about the mix in the High Performance Mixed Signal, any sense now relative to how you think mix is going to play out, at what revenue level on a quarterly run rate basis you need to be to kind of hit the target margins that you have out there?
Richard L. Clemmer: So on both of those -- so if you look at the Standard Products, I think it's a combination of volume and pricing. I mean, clearly the pricing environment, when you are kind of in this lull or slow-ish period compared to a year ago, you see a more aggressive pricing environment. And we've talked about that we saw early in the year as much price decline as we typically see on an annual basis. So I think we see that pricing impact in Standard Products but as much as anything else, it's probably the economic environment. Now there was just a report this morning talking about a positive associated with the economic environment in China, which could bode well for going forward. But clearly, we don't see that in the near-term relative to the demand in Standard Products. And I think relative gross margin, I don't think it's as much about the actual revenue volume that we're at to be able to drive that. I think we have to go through a little bit of this transition. We have to get Standard Products back within the model range that we would like for them to participate in and we have to get through kind of this transitionary period with some of these new design wins that are a little bit lower gross margin but actually pretty strong on the operating income level, because it doesn't require the same level of R&D or sales and marketing investment associated with it. So I think when we look at it, we're clearly focused on ensuring that we're adding shareholder value with the strong revenue growth contributing on the bottom line operating income that may require a little bit of tempering for a period of time associated with just our specific gross margin model, but give us still the ability to move towards our operating income levels on a timely fashion.
Operator: Your next question comes from the line of Vivek Arya representing Bank of America.
Vivek Arya - BofA Merrill Lynch, Research Division: Rick, first, very strong growth and very positive message, very different from what we are hearing from the rest of the ecosystem. I'm wondering how are you getting the comfort that there is no overbid in the channel anywhere. For instance, your Standard Products sales were up, I believe 8%, but [indiscernible] sales were up 3%. So just how are you getting the comfort? How are you putting the safeguards in place to make sure there is no overbid?
Richard L. Clemmer: Well so I guess, you're talking about more on Standard Products than on an across the board basis. In Standard Products I think the key factor for us is even though we're in a tough market environment, our focus in Standard Products is to move to some of the new areas, our thrust areas with ESD protection, where some of the new smartphones and tablets may require 10 to 12 or 13 ESD circuits where a typical feature phone in the past would only require one ESD circuit. So clearly, one of the things that has driven the near-term growth is some of the ramp-up associated with the ESD protection into some of those key customers on the smartphones and tablet area. And then that kind of normalizes out a little bit as we go forward. And clearly, with the very uncertain economic environment we're somewhat more cautious relative to the outlook of our Standard Products going forward. But we clearly do not believe that there's any significant inventory build whatsoever in our Standard Products area and we think that we continue to operate within the range we would like to. We would like for our Standard Products inventory level to be a little bit above the overall company basis just because of the actual individual price point associated with it, but we don't see any increased -- significant increase to inventory levels in the channel in Standard Products at all.
Vivek Arya - BofA Merrill Lynch, Research Division: Got it. You mentioned mobile as a key growth area in smartphones and tablets. I'm curious, is your NFC product capable of supporting all mobile operating systems, Android, Windows and iOS? Or is it focused on Android only?
Richard L. Clemmer: We publicly announced it. It will support Windows and it does support Android as we spent a lot of time talking about. With the 200 handsets and tablets -- smartphones and tablets that we've won the design win associated with it, I think that kind of speaks for itself.
Vivek Arya - BofA Merrill Lynch, Research Division: Got it. And just one last one for Peter. First, welcome, and second, with your background on the operational side, I'm wondering what kind of changes and improvements should we expect to see over the next several quarters?
Peter Kelly: I'm sorry, changes in the company? Could you just be a little bit clearer?
Vivek Arya - BofA Merrill Lynch, Research Division: Yes. Any change in strategy? Any change in focus? Any change on the financial side in terms of deleveraging targets, et cetera?
Peter Kelly: No. I think one of the good things is I've come from within the company and the strategy we have for the company overall is one that's decided by the leadership team. So I've been very involved in the last year as have the other team members in defining and agreeing to our strategy. So I'm kind of pretty comfortable where we are really. So no, I don't have any big plans to change anything.
Richard L. Clemmer: Just to continue to improve performance.
Peter Kelly: Yes, yes.
Operator: Your next question comes from the line Chris Caso representing Susquehanna Financial.
Christopher Caso - Susquehanna Financial Group, LLLP, Research Division: I just wonder if you could go over some of the comments on distribution again. And it sounded like last quarter that the distribution inventory was up a bit in dollars anticipating some of these design wins you talked about now and it looks like sell-in was up greater than sell-through again. To what extent -- as we look forward, what should we expect the distributor inventories to do over the next couple of quarters? Should we expect those to come down as some of these design wins do start to sell-out through distribution?
Richard L. Clemmer: I think, we feel like our distribution inventory levels are well within the range we'd like to operate in and on the months-of-inventory basis was flat from the Q1 time frame. So while there could be some sell-out with the actual shipments of some of the new design wins associated with it, if the economic environment were to create a little more stability, then I think there would be an inclination on the part of our distribution partners to put a little more inventory in place. So I don't know that we would expect to see any decrease whatsoever in the distribution inventory levels going forward, but it's not like we expect to see a significant increase either. We think that they're operating at what we believe to be normal range and no indications of any kind of problem areas at all.
Christopher Caso - Susquehanna Financial Group, LLLP, Research Division: As a follow-up, could you talk a bit about where your fab utilization is right now and as I guess as we look forward, what the impact on lead times right now. I think you said the lead times were increased a little bit last quarter. Well, could you give us an update on that?
Peter Kelly: So the fab utilization in Q2 was 92%, which is up from up 84% in Q1. And I guess in terms of lead time, 92% the fabs are running pretty effectively and an increasing part of our wafer production is coming from external fabs as we go through the year.
Richard L. Clemmer: So I think our lead times vary greatly from product to product. So while in Standard Products, we could have fairly short lead times based on being able to ship from inventory, in some of the cases associated with our ID business, we actually are trying to edge out all the capacity we can, because one of the things that provided the Q2 ability to perform above our guidance was the fact that we're able to squeeze some additional output out of our manufacturing facilities where we're capacity limited in the case of our ID business. They gave us that upside. So it's really focused on the individual product capability and the capacity that's in place. And lead times in some of our Standard Products would actually be quite short in the current environment while clearly in the case of our ID business, it's more of booked out and it's about how we squeeze out additional capacity either through our foundry partners or from our internal manufacturing facilities.
Operator: The next question comes from the line of Vijay Rakesh representing Sterne Agee.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: Just looking at your gross margins again. Sorry to beat a dead horse, but is that leverage -- if you can get more leverage on the gross margin line by tweaking your Standard Products portfolio?
Richard L. Clemmer: I'm sorry. Ask the question again. I -- it wasn't so clear, the connection.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: I'm just wondering, trying to get your margins up, is there more leverage if you go slow on the Standard Products side, because obviously that has a lower margin mix too, right?
Richard L. Clemmer: It does. I think the key for us in Standard Products is keeping our factories loaded. Now as we've talked about, this is not a strategic business for us. It's about generating cash and providing us the scale with our distribution partners where the combination of our Standard Products and HPMS business allows us to be the second-largest semiconductor company through the distribution channel and gets us the scale on a manufacturing volume where we produced well over 70 billion units a year based on the combination of the 2. So the Standard Products provides that cash and the capability, but clearly we need to improve their performance so they begin to move back within the range that we have established associated with it and that's a priority for us in Standard Products, is how we do that. But we clearly -- there's a trade-off associated with loading the facilities versus the pricing environment at which you can sell that product. And that's what they're very focused on how they maximize associated with it.
Vijay R. Rakesh - Sterne Agee & Leach Inc., Research Division: Got it. I agree. I think good growth there. I think just last question here. What are time lines on how you're paying down the debt here over the next 4 or 6 quarters?
Peter Kelly: Well, we don't talk specifically about what we plan with the individual part of the debt. But I guess the comment I would make is, in terms of our interest payments, we'd look to exit the year with about $65 million in a quarter. So we'd see next year as in the range of $240 million to $260 million. So clearly, we have funds to pay down the debt.
Richard L. Clemmer: And I think probably the key thing is if you look at the last 12 months we've actually reduced the debt by about $865 million.
Operator: Your next question comes from the line of Franklin Jarman representing Goldman Sachs.
Franklin Jarman - Goldman Sachs Group Inc., Research Division: I guess the first question I had was just with regards to your capacity utilization trending a little bit above 90% now, how should we think about capital spending plans going forward?
Richard L. Clemmer: Well, we'd said that we would spend about 5% over a cycle and so we might be up a point in areas in periods of time where we're capacity constrained such as we are today in our ID business. So clearly, it's very important that we make the right kind of investments to be able to support our customers where we have the unique sole source position associated with that. So I would assume that we might spend as much as 6% this year associated with that, but it's still in line with the 5% over the overall cycle associated with it. It's not like that you'll see us jump up to double digit percentage. But clearly, we might spend a percentage up now versus a percentage below that 5% overall range in periods of time where we don't have that requirement for the investment in capacity.
Franklin Jarman - Goldman Sachs Group Inc., Research Division: That's great. And just as a follow-up, given the cash that we saw deployed towards share repurchase, can you just talk about your commitment to achieving the 2x net leverage target that you've talked about in the past? How are you thinking about the ultimate timing here? We've seen net leverage sort of flat. Obviously, you've made a lot of improvements here at this point but can you talk a little bit about the longer-term goal towards 2x?
Richard L. Clemmer: We clearly have the top priority for the company to get below 2x leverage and we would expect that to be measured in quarters, not years. That doesn't mean that every dollar that we generate will absolutely go to that. There'll be trade-offs associated with it. Where we have a requirement for some future equity to be able to deliver the best return for our shareholders, we may actually repurchase some stock at minimal levels such as what we talked about in this case. But there is -- let there no confusion. Our top priority is on continuing to drive our debt down until we get below the 2x basis.
Peter Kelly: Yes, I think -- and obviously, the other really great thing is as we increase our revenue and profitability, as our actuals for this last quarter, our guidance for the next quarter demonstrates, that makes it easier and easier to pay the debt down. It obviously gives us a better EBITDA line as well.
Franklin Jarman - Goldman Sachs Group Inc., Research Division: And I know you guys don't want to talk about exactly how you're going to go after the 2013 maturities, but could I think of that as potentially being addressed with cash on hand rather than being refinanced?
Peter Kelly: Well, I definitely have to pay it off next year. So I guess I'd say that.
Richard L. Clemmer: And we don't see any problem in just breaking the cash to be able to meet that requirement, I guess, is the only way we can answer that. But we're not going to be specific with our strategic financing decisions in advance.
Operator: [Operator Instructions] And your next question comes from the line of Harlan Sur representing JPMorgan.
Harlan Sur - JP Morgan Chase & Co, Research Division: Back in April, the team was of the view that the Standard Products segment could get gross margins back in the range of kind of low to mid-30s within the next 1 to 2 quarters. I know you had 31% in Q2, so the team is making nice progress there. But it sounds like things are a little bit more challenging here in the third quarter. Just wanted to find out what are your expectations for ASP declines, utilizations and gross margins for the segment in Q3?
Richard L. Clemmer: Well I think the best way to kind of summarize all of that, Harlan, is we would not expect to see a significant decline associated with those. We edged up a little bit in Q2, and we think we'll continue to edge up. It's extremely difficult to drive that profit improvement in the current environment but that's the clear objective and the organization is pretty focused on driving that.
Harlan Sur - JP Morgan Chase & Co, Research Division: Great. And then on your base station products, the team has always had solid traction with the China equipment OEMs like ZTE and Huawei. And I know that you've also won some share at guys like Ericsson. So maybe can you just talk about which set of customers are driving the growth in the third quarter and what end market geographies do you think are driving the higher CapEx spend?
Richard L. Clemmer: It's very customer specific and probably inappropriate for us to comment on the specifics by customer, but I think it's pretty much across the board when you look at it. There's some uptick and it may be simply that they had some inventory replenishment that they had to do in their supply chain. But also I think there are some end product design wins that they've been successful at that's driving that. But I would pretty much say that it's across the board at different levels of mix, et cetera. So it's not like it's on a region-by-region basis.
Operator: The next question comes from the line of Jake Kimberly, representing Morgan Stanley. [Technical Difficulty] We have a follow-up question from the line of John Pitzer representing Credit Suisse.
John W. Pitzer - Crédit Suisse AG, Research Division: I thought I'd chime in with a gross margin question because there hasn't been enough of them yet. But when you kind of break apart the revenue stream between HPMS and Standard Products, Rick, I just want to make sure I understand, is it the Standard Products where you see the most headwinds? And when you think about the HPMS product line, you guys have historically talked about a 58% to 63% type gross margin target. I take it since you're sort of endorsing the total gross margin target that HPMS is still on track. Do you get there more quickly than you would getting to kind of your target margin in Standard Products?
Richard L. Clemmer: So John, I think we'd try to talk about that a little bit. I think we'll -- near term, we'll have little bit of pressure on moving absolutely to the target gross margin in HPMS with some of the new high-volume design wins. It won't have the same inherent gross margin characteristics as our normal ongoing business. So we're not backing off of those targets that we put in place. But on the interim basis, if we can drive these higher-volume design wins that drive more significant bottom line operating income level then we're clearly going to be focused on taking advantage of that. Our Standard Products is much more what I would say market sensitive. And clearly we're -- I was pleased that the team made some progress in Q2, but we clearly have more progress that we need to make and it's a high priority of the team and how we drive that. And frankly, the revenue growth in Standard Products is not that important to us. It's about how we balance off the utilization of capacity and support our customers with these new unique design wins on, like, ESD protection but not really be too caught up on the high-volume ultra low-cost products that might drive lower gross margins. So we're trying to balance that off so that we can begin to move closer and closer to the target model but clearly with headwinds from a market environment in Standard Products. But in the case of HPMS, it's more just the mix basis associated with these higher-volume design wins that won't have the same inherent gross margin characteristics but will be bringing us operating income.
John W. Pitzer - Crédit Suisse AG, Research Division: And then Rick, as a follow-up, how much below kind of the average HPMS gross margin are these new product wins? And typically at any point in a new product ramp, there's an efficiencies. Is that the case with these new products? And will you see incremental improvement in gross margin over the next couple of quarters as you ramp to more volume in the new product design wins?
Richard L. Clemmer: Yes.
John W. Pitzer - Crédit Suisse AG, Research Division: And then how much below sort of the average HPMS are these new business opportunities?
Richard L. Clemmer: John, I don't think we're prepared to talk about the specifics associated with that. But you and I both know that with the higher-volume design wins that they're associated with, smartphones and tablets, you won't run the same inherent 58% to 63% gross margin of a typical High Performance Mixed Signal portfolio focused on automotive industrial space.
Operator: At this time, there are no further audio questions. I would now like to turn the call over to Mr. Clemmer for closing remarks.
Richard L. Clemmer: Well, thanks a lot for joining us this quarter. Again, we were very pleased with the performance in Q2 with the ability to drive revenue growth at 12%. We think clearly shows the fruition of the strategy that we put in place and actually confirms the ability to execute on that even with the anemic macro environment. We look forward to seeing the continued ramp up of those NXP-specific design wins. And clearly, the improved operational performance that allowed us to drive more than a 2x increase in sequential improvement in EPS is something that we're very pleased about as a company, all resulting in a robust cash flow generation of $269 million for the quarter. And just one last comment in closing. As we said, this is kind of Kalle's swan song with us. We really appreciate his contribution that he's made over the life of NXP and want to wish him the best as he moves through a different kind of chip industry out of the semiconductor business. So good luck, Kalle. We wish you well.
Karl-Henrik Sundstroem: Thank you very much. Thank you.
Jeff Palmer: Operator, thank you very much and thank you, everyone, for your interest in NXP. One last point. We are holding our annual analyst day in New York City on September 13. We hope to see you there and thank you, again.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect and have a great day.